Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Reliance Global Group Third Quarter 2022 Business Update Conference Call. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. I would now like to turn the call over to David Waldman, Investor Relations. Please go ahead.
David Waldman: Thank you. Good afternoon, and thank you for joining the Reliance Global Group's third quarter 2022 conference call. On the call with us today is Ezra Beyman, Chairman and Chief Executive Officer of Reliance Global Group; and William Lebovics, Chief Financial Officer of Reliance. Earlier this morning, the company announced its operating results for the quarter ended September 30th, 2022. The press release is posted on the company’s website, www.relianceglobalgroup.com. In addition, the company filed its quarterly report on Form 10-Q with the US Securities and Exchange Commission on November 14th, 2022, which can also be accessed on the company’s website, as well as the SEC’s website at www.sec.gov. If you have any questions after the call or would like any additional information about the company, please contact Crescendo Communications at 212-671-1021. Before Mr. Beyman reviews the company’s operating results for the third quarter of 2022, we’d like to remind everyone that this conference call may contain forward-looking statements. All statements other than statements of historical facts contained in this conference call, including statements regarding our future results of operations and financial position, strategy and plans, and our expectations for future operations are forward-looking statements. The words anticipate, estimate, expect, project, plan, seek, intent, believe, may, might, will, should, could, likely, continue, design, and the negative such terms and other words in terms of similar expressions are intended to identify forward-looking statements. These forward-looking statements are based largely on the company’s current expectations and projections about future events and trends that it believes may affect its financial condition, results of operations strategy, short-term and long-term business operations and objectives and financial needs. These forward-looking statements are subject to several risks, uncertainties and assumptions as described in the company’s Form 10-K filed with the US Securities and Exchange Commission on March 31, 2022. Because of these risks, uncertainties and assumptions the forward-looking events and circumstances discussed in this conference call may not occur and actual results could differ materially and adversely from those anticipated or implied in the forward-looking statements. You should not rely upon forward-looking statements as prediction of future events. Although, the company believes that the expectations reflected in the forward-looking statements are reasonable and cannot guarantee future results, level of activity, performance or achievements. In addition, neither company nor any other person assumes responsibility for the accuracy and completeness of any of these forward-looking statements. The company disclaims any duty to update any of these forward-looking statements. All forward-looking statements attributable to the company are expressly qualified in their entirety by these cautionary statements, as well as those made in this conference call. You should evaluate all forward-looking statements made by the company in the context of these risks and uncertainties. With that, I’ll now turn the call over to Ezra Beyman. Please go ahead, Ezra.
Ezra Beyman: Thank you, David. Good afternoon and thanks to everyone for joining us today. I'm very pleased to report in the third quarter of 2022, we achieved a 61% year-over-year increase in revenue compared to the 2021 third quarter. This marks another quarter of strong year-over-year revenue growth, driven in part by our successful acquisition including Barra & Associates, which has been relaunched as RELI Exchange. Since its launch, RELI Exchange our business-to-business InsurTech platform and agency partner network has rapidly become one of their premier agency partner networks in the country. We believe that there is no other offering in the insurance industry that can match the speed or versatility of the platform and that we have built is a best-in-class, highly scalable platform, capable of driving significant shareholder value into the foreseeable future. The beauty of RELI Exchange is that it provides agency partners with a simple solution that immediately makes their business more efficient. RELI Exchange simplifies an agent's back-office prudent and reduces their costs by streamlining their operations and eliminating paperwork, thus providing the agent with more time to focus on their clients. The platform allows agents to generate and compare quotes faster than ever before, helping to ensure that they are identifying the best policies and value for their customers. RELI Exchange is also an appealing option for entrepreneurs who previously worked at captive carrier agents were within large and open bureaucratic agencies. Using the RELI Exchange platform, these agents can now realize the full benefits of owning their own business. In periods of economic uncertainty, property and casualty and insurance stood the test of time, even in inflationary environments. We continue to explore opportunities to add new streams of revenue for our agency partners, which we believe will make RELI Exchange an even more compelling value proposition. And in doing so, further accelerate the growth of the platform. Once such opportunity was a referral partnership that we entered into during the third quarter with NRS Funding, a provider of merchant cash advance services to independent retailers nation-wide. Through this partnership, agents on RELI Exchange are now able to offer their existing and prospective clients merchant cash advance services, providing the agents with a new revenue stream and increasing the profitability of their existing businesses. We believe this type of referral partnership is a win-win for both our agents and most importantly, our customers. In addition, we have several more similar type opportunities in the pipeline, which we believe we'll be able to roll out to RELI Exchange agency partners shortly. We continue to receive excellent feedback from our RELI Exchange partners that are already experiencing the positive effects of the platform is having on their business. The platform has scaled up more quickly than we had anticipated as independent agents continue to join the network, which now has more than 120 agency partners, an increase from the 65 agency partners that were on the platform just a few for a month ago. As we have previously stated, our goal is to build RELI Exchange into the largest agency network partner in the US. And we believe that the rapid growth of the network to date demonstrates that we are heading in the right direction. In addition, we believe that the scalability of the business model, combined with the low cost of entry for agency partners will drive significant shareholder value in the future. On one final note, in September, the Board of Directors authorized a share repurchase program, under which the company may repurchase up to three million share of its outstanding common stock, which we expect will help drive value for shareholders by reducing the outstanding shares. We believe the company is in a stronger position than at any time in our history. We do not believe this is reflected in the share price given the current market conditions. While we're not at liberty to comment on the specific amount or timing of the future share repurchases, we do plan to use this program opportunistically. It's also important to note that I have personally purchased over $400,000 of stock in the open market with an addition to the million, which I previously invested in the company. For those of you that share our frustration with the stock price, hopefully, this instills further confidence that we are willing to put our money where it matters. We cannot be more encouraged by the outlook for the business and look forward to providing further details on RELI Exchange and other significant initiatives underway. I would now like to turn the call over to William Lebovics, Chief Financial Officer of Reliance Global Group, who will review the financial results of the three-month period ending September 30, 2022. William?
William Lebovics: Thanks, Ezra, and good afternoon. The company recorded revenues of $4.2 million for the three months ended September 30, 2022, as compared to $2.6 million for the three months ended September 30, 2021. The increase of $1.6 million or 61% was primarily due to organic growth and the additional insurance agencies we acquired in 2022. Total commission expense for the quarter ended September 30, 2022, was $863,000 compared to $661,000 for the quarter ended September 30, 2021. The increase of 202,000 or 31% is driven by organic growth and the additional insurance agencies acquired in 2022. Salaries and wages expense totaled $2.1 million for the three months ended September 30, 2022, and compared to $1.2 million for the three months ended September 30, 2021. The increase is largely due to the company's growth, both organic and through acquisitions in 2022. General and administrative expenses totaled $1.3 million for the quarter ended September 30, 2022 compared to $755,000 for the year ago quarter. The increase is the result of increased operations and acquisitions the company made in 2022. Marketing and advertising expense totaled $726,000 for the three months ended September 30, 2022, compared to $65,000 for the three months ended June 30, 2021. The increase is primarily the result of the company's efforts to increase brand awareness and establish itself as a thought leader in the insurance industry compared to the prior year. Additionally, marketing costs went out for Medigap's direct-to-consumer model, which are deployed through various social media platforms. The company reported $7.6 million of other income for the three months ended September 30, 2022, compared to $120,000 other expense for the three months ended September 30, 2021. The increase of $7.8 million is primarily attributable to a $7.9 million recognition and change in fair value of warrant liabilities. Net income for the three months ended September 30, 2022, totaled $6.1 million or $0.35 per share compared to a loss of $595,000 or $0.05 per share. This concludes our prepared remarks. We're happy to answer any questions. Kelly, can you please assist us with that?
Operator: Certainly. The floor is now open for questions. [Operator Instructions] Your first question is coming from Edward Riley with EF Hutton. Please post your question. Your line is live.
Edward Riley: Hey, guys. Thanks for taking my question. Its looks like the cash position is dwindling down a bit. Could you maybe talk about the path to profitability in terms of timing, maybe how much cash runway do you have left? And any alternatives you're taking to maybe show up some cash?
Ezra Beyman: Yeah. So the truth is as time moves on, a lot of the – any of the expenses we had – and if could elaborate on that non-cash and non-recurring. So much of what we had during the year is not – we really don't have that much of a burn right now. Some of the corporate expenses weigh them, but – I think agencies themselves are profitable. And basically, we have -- we keep an eye on cash, and we're okay, what we need right now, we're fine. And with, whatever we were, we’re in okay shape with that. And, of course, as you know, I've stepped up on the brakes when they had the company -- in the past. But we now -- as time goes on, actually, the cash is getting -- is stabilizing more, because a lot of the one-time expenses are no longer recurring.
Edward Riley: Okay. Got you. And it looks like RELI Exchange is performing really well. Any other performance that is notable from any of your subsidiaries in the quarter that you'd like to highlight?
Ezra Beyman: I believe, maybe if -- Joel, do you want to answer that?
Joel Markovits: Of course. So I'll point out Altruis and one of our subsidiaries, and that they were doing really well this year, significant growth year-over-year. So, yes, they're not the only ones. Some of the other ones, Kush and Montana sitting really wide. I think across the board, there was something like a 10% organic growth to that. I think I've seen that around. Without zeroing in on it, but then we do have organic growth and I mean, some of them are really flying. Altruis, which is a big operation and Kush doing that -- they were really doing well.
Edward Riley: Okay, great. Thanks.
Ezra Beyman: Okay.
Operator: Your next question is coming from Elan Freeman [ph] with FKC Capital [ph]. Please, pose your question. Your line is live.
Unidentified Analyst: Yes. Thanks for taking the question. Congratulations on the quarter. The growth of RELI Exchange have been impressive in a short amount of time. What's your plan to continue the growth and where do you see it going in the next 12 to 18 months?
Ezra Beyman: Okay. I'm glad you asked that, because that's a major focus, and I think we have discussions about all the time. What we've done until now, even doubling the agent size. It's really only in the last few months, because some of the technology hadn’t been put into place to get it ready. But we're really shooting for drilling by the end of Q4 of 2023, a little more than a year from now to have 1,000 agents. And I don't know if that extrapolates to significant revenue if things go as planned. So that's what we're shooting for. We're really gearing up. Grant is on the phone. He could, I think, fill us in as well as far as the efforts and the improvement. Grant if you’d like to give us some color to that?
Grant Barra: Absolutely. So agent count in the field is a primary focus on the numbers that we're working with. We are currently working with our sales directors in the process of onboarding agency partners underneath the enhanced platform that we were able to create in partnership with Reliance Global Group. It really gives these agents, like, hands down, the best opportunity to succeed in the independent space. They have a full InsurTech platform. They operate underneath their own logo, owned branding. So it's really an attractive option for them. Hitting 1,000 agents by December 31 is our target. I do believe that we will hit that target and potentially exceed that target. So what I look at is, that's the starting point. So when I talk about the onboarding of these agents, I don't want to forget about making sure each of these agents are highly productive. So we have a very specific onboarding process, in which they are working with our trainers and sales directors in order to become productive as quickly as possible. This helps with retention, being able to keep our agency partners on the platform and thriving as they continue to have success after success after success. And just by the nature of how our platform works, it allows our agency partners to have a competitive offering with just about every client they meet with. So, that isn't the norm in our industry because the norm is single carrier agreement, and you're running a lot of quotes to have very few opportunities to close. So, just with what we have created on our platform and the experience that our agency partners are having today in the field is they're competitive way more often. Again, that results in higher retention, keeping our agents in a better presence in the insurance industry as the best option for agents to join who wants a business, who wants an independent insurance agency.
Unidentified Analyst: Thank you.
Operator: There are no further questions in queue at this time. I would now like to turn the floor back over to management for any closing remarks.
William Lebovics: Thanks Kelly. We are excited about the growth we have experienced in the RELI Exchange Platform in such a short time and encouraged by the solid growth in revenue that we continue to achieve. We believe that the traction we are observing with independent agents and agency partners across the US will further accelerate as we continue to add additional new revenue opportunities to the platform. I would like to thank everyone for participating in our third quarter 2022 conference call. We are full of enthusiasm as we forge ahead and we look forward to updating you on our progress next quarter. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.
Ezra Beyman: Thank you.